Operator: On today's call, we will be referencing the press release issued this morning that details the company's full fiscal year 2025 results, which can be downloaded from the company's website at arquettegroupgroup.com. At the end of the company's prepared remarks, there will be a question and answer period for selected equity research analysts. Please note that those selected equity research analysts that would like to ask a question in the Q&A session will need to dial into the call rather than joining through the webcast link. Finally, a recording of the call will be available on the Investors section of the company's website later today. Please note that this webcast includes forward-looking statements. Statements about the company's beliefs and expectations concerning words such as may, will, could, believe, expect, anticipate, and similar expressions are forward-looking statements and are based on assumptions and beliefs as of today. The company encourages you to review the safe harbor statements, risk factors, and other disclaimers contained in today's press release as well as in the company's filings with the Securities and Exchange Commission, which identifies specific risk factors that may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this webcast. And now, I would like to turn the call over to Andy Leaver, the company's Chief Executive Officer. Andy?
Andy Leaver: Thank you, and thank you for joining our fiscal year 2025 earnings call. From my vantage point, fiscal 2025 was a year of building momentum. The issue which Arqit Quantum Inc.'s products and services address, specifically current weaknesses in encryption, and the future threat posed by quantum computers moved up the risk register of enterprises and governments around the world. It was a year of building momentum for the company as well, momentum in customer engagements across our key markets, momentum in revenue, and momentum in contracted backlog coming into fiscal year 2026. Fiscal year 2025 was also a year of broadening our product and service footprint. Our acquisition of Amplify's encryption intelligence product and risk advisory services broadens our engagement with current and prospective customers to address the migration journey to a post-quantum cryptographic posture from beginning to end. Innovative collaborations with Intel and Sparkle broaden our product solution sets to include confidential computing, which is an exciting emerging market opportunity on quantum secure communications across the optical transport layer. Finally, the year was marked by further building upon past successes, specifically replicating past successes in the telecom network sector and defense sectors with additional contract wins. The need for enhanced cryptography is ever increasing, particularly with each new announcement of advances in quantum computing capability. Organizations are increasingly aware of the need to address the issue. We have seen a change in the market from awareness of the issue to action to address it. The level of action is uneven across or within market segments. However, it is no longer a question of if organizations need to upgrade their cryptographic posture, but when they will upgrade their posture. Arqit Quantum Inc. recently was invited to present to a leading US securities industry regulatory organization about the rise of quantum computing and the threat it poses to cybersecurity for the financial industry. One of the most interesting questions posed was, what can we, as a regulatory body, do to support and encourage a transition to post-quantum security? From Arqit Quantum Inc.'s perspective, the invitation to present and the question asked demonstrated the increasing urgency which is being felt across key market sectors to move to a post-quantum encryption posture. Many governments, security agencies, and regulatory bodies across the globe are mandating or encouraging the migration to post-quantum cryptography. Some are even imposing deadlines. Top-down pressure plus increased awareness of the issue at the CTO or CISO level within organizations is driving increased action to address the issue. As a result of this market trend, Arqit Quantum Inc.'s marketing programs have been announced successes with seen increased activity with prospective customers. The first step with prospective customers is a demonstration and test engagement. In the first two months of this fiscal year, we have already signed 12 demonstration and test engagements. The pace of engagements is running well ahead of fiscal 2025. We believe this is the best barometer of building market migration towards a post-quantum cybersecurity preparedness. And it signals increasing awareness of Arqit Quantum Inc.'s symmetric key agreement encryption platform as a compelling solution. We have a proven solution to address the weaknesses of today's and the threat posed by quantum computers. However, we recognize that as an organization wants to migrate to a post-quantum encryption posture, it needs to understand its current cryptographic landscape and its risk exposure before we can take steps to upgrade its encryption architecture. We lacked an important capability, namely a risk advisory tool to help our organizations take the first important step to understand their risk. In May, we acquired Amplify's product portfolio IP and innovations team specializing in encryption risk advisory and AI analytics. Amplify's encryption intelligence risk analysis tools we acquired give organizations complete visibility into all encryption technologies in use across the network, automatically identifying weak points and vulnerabilities, including those susceptible to quantum attacks. Encryption intelligence risk analysis tools offer CSOs and CTOs an on-ramp for their post-quantum migration. They cannot address issues which they cannot see. Encryption intelligence shines a light on the problem. While a revenue opportunity in and of itself, encryption intelligence is also a sales lead generator for our symmetric key encryption solutions.
Operator: Our encryption intelligence product combined with Arqit Quantum Inc.'s quantum encryption
Andy Leaver: technology delivers a comprehensive proposition to identify and mitigate cyber risk exposure from both current and future quantum threats. Arqit Quantum Inc. can help organizations detect, protect, and comply. What I mean by that is firstly, we can help organizations detect their cryptographic risk exposure through the use of encryption intelligence. Secondly, we can help organizations enhance and protect their networks and IT infrastructure through the use of our quantum-safe symmetric key agreement encryption solutions. And thirdly, organizations can migrate to a post-quantum encryption posture that is compliant with cybersecurity guidance from leading government agencies and trade groups as our encryption intelligence tools map against leading security agency recommendations and our encryption solutions meet all such recommendations, including the National Security Agency's commercial solutions for classified key management requirements. While a concise multiphase detect, protect, and comply captures the essence of what we do and the value proposition which we offer customers. Adding encryption intelligence to our portfolio is an important broadening of our offering to assist clients in their end-to-end migrations. Another important point to add to the broadening of our product portfolio was the announcement of our collaboration with Intel to bring symmetric key cryptography into the trusted domain created by Intel's TDX enclave. What that means to the less technically inclined is workloads in our can move between on-premise and cloud environments, which is and confidential. Hence, it is called confidential computing. The security of workloads in process and transit is of vital importance to CTOs and CSOs. Confidential computing is increasing in importance. It is an element of the rise in market focus on trust and data sovereignty.
Operator: Trust
Andy Leaver: and sovereignty are the words we hear regularly in our engagements with existing and prospective customers. Data sovereignty is the concept that data is subject to the laws of the country or region where it was generated. It's an issue which is complicated by the continued movements of data and workloads to the cloud, which are often transnational. This is a particularly important issue in the European Union. Recent materials announced by Deutsche Telekom, British Telecom, and Orange focused on their sovereign cloud or network architecture initiatives. Arqit Quantum Inc.'s collaborative solution with Intel and its Intel TDX has significant applicability to the trust and sovereignty issues confronted by organizations seeking to comply with data sovereignty laws. We expect to have additional announcements about offerings and go-to-market strategies targeted to the confidential computing and data sovereignty market in this fiscal year. Arqit Quantum Inc. believes this market represents a meaningful opportunity for the company, and we have a strong partner in Intel with whom to attack it. While we have broadened our product offering with encryption intelligence and our activities with Intel, we remain focused on building on our recent successes specifically in the telecom and government and defense markets. In the telecom market, we signed a three-year contract with Sparkle, a tier-one network operator enabling them to offer a quantum secure network as a service. Building upon our relationship, we just recently announced in partnership with Sparkle that it had demonstrated embedding Arqit Quantum Inc.'s encryption technology directly into the optical transport layer, validating that sensitive data could be secured at the physical network layer without compromising performance. This demonstration opens the door for additional secured product offerings for network end users. In addition to activities with Sparkle, Arqit Quantum Inc. signed additional license agreements or contracts with RSG Telecom and its affiliate, Fabric Networks. Our engagement with prospective large telecom network operators is strong. We expect to replicate our success with Sparkle, RSG, and Fabric with other network operators as we have the blueprint which should shorten implementation times for prospective customers. Likewise, in defense, whether militaries or defense contractors are building upon our recent success. Our previously announced initial Department of War contract in partnership with a large IT vendor has been a validating event. Since the announcement, we've signed several additional defense-related contracts, including one for integration into unmanned battlefield assets. There is significant opportunity in the defense market, and we have undertaken multiple demonstration and test engagements, usually as part of a solution set with partners with US and foreign military organizations and defense contractors. While sales cycles in defense can be slower than other markets, we believe that this market will represent a large percentage of our revenue over time. In that regard, we've increased and realigned our US operations and personnel to drive our efforts to capture more of this market, whether US military, national security, or government. So circling back to my introduction, we are experiencing the market momentum to take action to address the weaknesses in today's encryption and the threat of quantum computers. Prospective customer engagements are accelerating. We have broadened our product offering to provide a comprehensive solution to detect, protect, and comply. We have also broadened our product offering to be a first mover in Quantum Secure confidential computing and data sovereignty. And finally, we have deepened our success in key network operator and defense markets. Our efforts are beginning to come through in our results, which Nick will talk about in a moment. I will say we believe that fiscal 2025 represents a trough year from a revenue perspective. The company grew revenue materially in the second half of the year as compared to the first half. We ended the fiscal year with executed contracts that represent $1,200,000 in revenue that could be recognized in fiscal year 2026. We expect to build upon that foundation through 2026. As momentum in the marketplace for quantum-safe solutions grows, so is our conviction. Organizations are starting the migration journey. We can assist in the assessment of risk exposure, and we offer a provably secure symmetric key encryption solution. We like our position in the marketplace to capture the demand we are building. We are excited about our prospects for 2026. Thank you. And with that, I will turn it over to our CFO, Nick Pointon. Thank you, Andy. For the fiscal year 2025, Arqit Quantum Inc.
Nick Pointon: generated $530,000 in revenue as compared to $293,000 in revenue for fiscal year 2024. The variance between periods resulted primarily from the commencement in March of our previously announced multiyear contract with a customer in The Middle East. In 2025, we generated revenue from seven licenses for our SKA platform and network secure solutions and professional services. This compares to 13 licenses for fiscal year 2024. While our revenue for the fiscal year is modest, our full-year result does represent a material improvement from the prior year and a material sequential improvement from the 2025 to the end of the period. Recall, our 2025 revenue was $67,000 while the second half of the year saw revenue accelerate to $463,000. The acceleration in second-half revenue benefited from, amongst other factors, the commencement of revenue generation from our multiyear contract in The Middle East, which as previously reported, had been delayed. It also reflects the commencement of our multiyear contract with Sparkle. In keeping with Andy's theme of momentum, we previously reported that we ended fiscal year 2025 with $1,200,000 of contractual revenue which may be recognized in fiscal year 2026. While we are still speaking in modest nominal dollar terms, the trajectory of our prospective customer discussions, licensing activity, and now revenue is all moving in a positive direction. Revenue from the Arqit Quantum Inc. platform SKA platform as a service and Arqit Quantum Inc. Network Secure products totaled $476,000. Professional services and maintenance revenue in support of contract activity was $54,000 for the period. For fiscal year 2024, Arqit Quantum Inc. SKA platform as a service and Arqit Quantum Inc. Network Secure contracts revenue totaled $191,000. And professional services and maintenance in support of activity was $102,000. Our administrative expenses equate to operating costs for those more familiar with US GAAP. Administrative expenses for fiscal year 2025 were $34,700,000 versus $25,400,000 for fiscal year 2024. The variance between periods was primarily due to a reduction in foreign exchange gain resulting from the strengthening of the pound against the US dollar. Employee and property costs saw material reductions year over year. Arqit Quantum Inc.'s headcount as of September 30, 2025, was 91 employees as compared to 82 as of September 30, 2024. Administrative expense for the period includes a $5,600,000 noncash credit associated with share-based compensation versus a restated $600,000 noncash charge for fiscal year 2024. Operating loss for the period was $38,500,000 versus a loss of $26,900,000 for fiscal year 2024. The variance in operating loss between periods is primarily an increase in administrative expenses and recognition of an exceptional item for the outstanding class action lawsuit in the period. We previously announced that an agreement in principle has been reached regarding a settlement of the lawsuit. For the fiscal year, loss before tax from continuing operations was $36,500,000. For fiscal year 2024, loss before tax from continuing operations was $37,400,000. The variance between periods is primarily due to an improvement in currency translation differences. As of September 30, 2025, the company had cash and cash equivalents of $36,900,000. With that, I turn the call back to Andy.
Andy Leaver: Thank you, Nick. A final thought. Nick perhaps said it best when he noted that the trajectory of key measures, prospective customer engagements, signed contracts, revenue, and backlog are all moving in a positive direction. From my perspective, that is a function of the market beginning to take serious action towards migrating to a post-quantum encryption posture. It's also a function of recognition that our key symmetric key agreement encryption platform offers a proven solution today. We are very excited about the market for our products in fiscal 2026. The hard work of the entire Arqit Quantum Inc. team is beginning to bear fruit. We expect to build upon the momentum that we experienced in 2025. Thank you again. I'll hand the call back over to the operator for Q&A.
Operator: Thank you. If you are on a headset, please pick up the handset and then press star 11. If you would like to remove yourself from the queue, please press star 11 again. One moment while we compile our Q&A roster. And our first call from today will come from the line of Scott Buck of H.C. Wainwright and Company. Your line is open.
Scott Buck: Hi. Good afternoon, guys. Thanks for taking my questions. Andy, I'm curious, is or was there a particular catalyst that's helping drive the higher level of demonstrations and activity here in the last couple of months? Either something external or maybe some change in the selling process.
Andy Leaver: Hey, Scott. Good question. Thank you. So I kind of look when I kind of laid out where we're seeing business, I would say kind of thematically, what you're seeing is the news flow on quantum and the advances in quantum, this year, this calendar year 2025 have been huge. And I think when you see some of the larger players like sorry. Like IBM and Google when they talk about their hypercomputers and achieving quantum supremacy. And then you also see some of the smaller pure players, which we see a lot, by the way. I think their advances have gotten people to say, hey. We can see now that Quantum is moving very quickly, and we're still actually in the Europe Quantum. So that's the first thing that they're seeing, I would say, thematically. I think also then what we're also seeing is you'll see specifically within the telecom sector is a larger awareness because of I talked about in my notes earlier that in some cases, governments, in other cases, regulatory bodies, are saying to people, this needs to be on your risk register, and this is something you need to look at. And I think that's driving a lot of organizations starting with telco to say, hey. We need to have a position on this, and we need to understand the potential impact. And how we can mitigate against that impact. So on one side, it's hugely excited about quantum arriving in the way that it is because it's a force for good. We all know the benefits of quantum. But in a bad actor's hands, now people are starting to be aware of what the consequences of that are. I would just leave you with one other thing as well. I think it's very well publicized now. The threat of what's being called harvest now decrypt later, which is people having their information hacked and stolen today to be decrypted later when quantum computing is available in a more meaningful way. If that information has a shelf life or has any sort of validity going into the future, then it puts that organization at risk. And I think people are saying, hey. We need to guard against that now. Rather than wait for more and more evidence in terms of the availability of quantum computers. Hopefully, that helps, Scott.
Scott Buck: No. That's very helpful. It sounds like the market is coming to you guys rather than you having to change any of your kind of internal selling procedures to grab more attention, which is great. Also wanted to ask about encryption intelligence. What does the sales cycle look like there versus the legacy product? I would imagine it's significantly shorter and maybe a driver of revenue here in the near term.
Andy Leaver: Yeah. Hey. We're really pleased with the acquisition we made of encryption intelligence. For us, this is something that that ability to one, in a sales cycle, an organization their cryptographic landscape and show where they have potential weaknesses and potential problems in their network, but also identify that against existing regulatory body guidance. But right behind that is obviously we want organizations to use this as an ongoing tool as well to keep themselves safe against any new attacks. So we're seeing starting particularly with telco operators that are leaning into this and saying, hey. This is something that we'd like to use on an ongoing basis. So in discussion now with a number of telco operators not just to do an initial check on their network, but also then on an ongoing basis for them to use the tool. I like the fact now that we can be very specific about what the threat is, and be very deterministic about what we can do to help them mitigate against that potential attack and vulnerability. I think this year, as I said, being the Euro Quantum, we just have a lot more inbound on that side as opposed to before where we were talking about in the market. The market feels like a lot it's a lot more educated now when it's coming to us. Yep. No. That makes sense. I'm curious, Andy. Are there additional kind of bolt-on or tuck-in opportunities similar to that asset purchase you made back in May that might make sense to, I know, either bring in some additional revenue or expand, you know, the potential customer footprint.
Andy Leaver: Yeah. That's a really good question. And I talked about what we're seeing particularly with data sovereignty and confidential compute. And I think those two areas are really coming to the fore now particularly as you think about a lot of organizations are now thinking about in that kind of detect, protect, comply. Where is my data going? How do I need to think about complying against local regulation? And then how do I protect it? So anyone that sits on the periphery of really the detect, protect, comply around data sovereignty and confidential compute will be great tuck-ins for us. I think anything around particular tech components of that would be interesting. And, you know, we've looked at a few different areas already in terms of people that are delivering components of it, but are obviously missing the deep intellectual property that we have around the quantum-safe part of it as well. So, absolutely, we've been looking in the market.
Scott Buck: Great. And then if I can squeeze one more in, and this is probably for Nick. Curious, should we anticipate any change in OpEx for fiscal '26? Or can you support the anticipated growth in the business with this kind of current level of OpEx spend?
Nick Pointon: Yes. So our plan is very much to maintain the control that we benefited from in FY '24. And to keep at the sorry, '25, and to keep the same level in FY '26. So $2,500,000 per month is our sort of target maximum cash spend per month that we anticipate ahead and we believe we can deliver the year ahead within those constraints.
Scott Buck: Perfect. Well, I appreciate the added color, guys. Thank you for the time.
Andy Leaver: Thank you, Scott.
Operator: One moment for our next question.
Operator: And our next question will be coming from the line of Troy Jensen of Cantor Fitzgerald. Your line is open.
Troy Jensen: Hey, gentlemen. Congrats on all the great progress here. Maybe, Andy, for you to start with, can we just touch on competition? It seems like six, twelve months ago, there was really nobody the traditional security vendors talking about postmortem security and, you know, now I hear them upgrading their algorithms and whatnot. So curious is that just mainly software-based competition or just curious if you could touch on the competitive dynamics.
Andy Leaver: Yeah. Sure. I mean, I think in line with what we're seeing in interest and activity within the market. Of course, there's going to be people that are gonna look at this as something that they want to lean into as well. So we absolutely see a few different competing ideas in terms of how people view this and how they want to deliver it. Just to kind of shine the spotlight back at us for a second, you know, we've been at this for over five years. We've got 25 patents. You know, we spend a lot of money deeply thinking about this problem. And believe that we've got something very unique and just to kind of quote a phrase, you know, the gold standard was always symmetric key agreements. Which have been used for a long, long time by governments, military, federal defense, etcetera. Because that's what they trust and have a good pure software solution that allows you to model that without hardware without having to think about distributing keys, and also the fact that it's not mathematical. Anything that mathematical, obviously, a computer eats up very easily. We believe that we've got something that's very light, very flexible goes all the way to the edge of a network, and extends itself into those kind of data sovereignty and also trusted domain conversations that we've been having. So hey, I'm sure there are people that will come along with slightly different views. We just want to make sure that we make it as frictionless and easy as possible what we're doing, and that's what we just keep building on.
Troy Jensen: Perfect. Great answer. And then, Andy, also for you, just if you look at success lately, seems like it's been telco and government. I'm curious, can you just talk about the corporate side? It seems like this is something financial organizations and a variety of different kind of corporate American companies should be looking at.
Andy Leaver: Yeah. Hey. That's a really good question, Troy. And we so I kind of feel like it's building a bit like the OS size stack if people know what that is kind of, you know, from the physical level of words as I talked about. Optical transport layers and things like that. The very basics are, hey. Let's protect the actual fundamentals of how things are connected together. And I feel like now we're getting into the kind of more operational layers I feel like anybody that is regulated, is critical in infrastructure, is heavy in intellectual property, are people that are starting to talk to us. And I mentioned that we'd done a briefing to a regulatory body in my prepared remarks, and you can see that now they're building their guidance saying, hey. This is obviously a threat to regulated financial industries. They're ones we're talking to at the moment. So we're seeing the people that are actually operating some of the infrastructure are thinking about how to protect that and also to protect against bad actors. And then anybody that's doing anything that's rich in IP that they've long development cycles. So you could think about farmers, life sciences, chemicals companies. They're the people that want to protect their IP as well. Because, obviously, if there's a harvest now decrypt later, that's got a long shelf life because they're years into development of that. So those are the industries we're seeing coming along next, and starting to have conversations with them. The secure compute really into financial services as well, obviously, being a regulated industry. So we see those kind of going hand in glove, really. Hopefully, that makes sense.
Troy Jensen: Perfect. Thank you, Andy. Nick, keep up with good work, guys.
Andy Leaver: Thank you so much.
Operator: Thank you. And there are no more questions in the queue. I would like to turn the call back over to Andy for closing remarks. Please go ahead.
Andy Leaver: Thank you. And, again, everybody, thank you for joining us today. Look forward to speaking with you again following the close of our 2026 first half results. We really appreciate your interest in the company. Thank you again for your attendance.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for your participation. You may now disconnect. Speakers, please standby for your debrief.